Operator: Hello and welcome to the Randstad Third Quarter Results 2021. My name is Josh, and I’ll be your coordinator for today’s event. Please note that this conference is being recorded and for the duration of the call your lines will be on listen-only. However, you will have the opportunity to ask questions at the end of the call. [Operator Instructions] I’ll now hand you over to your host, Jacques van den Broek, to begin today’s conference. Thank you.
Jacques van den Broek: Yes, good morning. Thank you, Josh. Good to talk to you all. I am here with Henry, Bisera and Akshay from Investor Relations. And yes, we sent you two press releases here this morning, the regular one that you recognize and the other one on me stepping down as of the end of March next year. Lots of questions, of course, why now? And well as a CEO, I think you’ve got the two responsibilities. The first one is to manage the company for the long-term, create a winning strategy that will last for many years to come, always seen that as my foremost duty. I think we are in that phase. We have a strategy that works. It’s never finished, always go slower than you expect, but definitely with my team, with the whole executive board, supervisory board very happy with where we are and looking into the future optimistically. The second one is to then time you’re going away at a moment when the company on the more shorter term is also in good shape. Of course, last year it was a different picture, certainly in the midst of the year, but as you’ve seen we bounced back quickly and we bounced back better than expected and better than market. So the company is in great shape. And that is then the moment for me to say, okay, I got a great successor, Mr. Sander van ‘t Noordende. Mr. van ‘t Noordende has been with our supervisory board for six months now. So he’s had the opportunity to look around the company. He has a background with Accenture, which has a lot of aspects of where we are going in as a company, predominantly in the solution space. So take the time to break him in, in first quarter of next year and then yes, we’ll see. So that was the first press release. The second press release is on our numbers. And well, we are very happy to report those numbers because we’re very happy with the performance of our people this year. Market leading growth, so 20.7, almost 21% growth to 2020, but 5% more to 2019. So Henry will talk a little bit more about that, but very good. Also surprisingly honestly is perm. We – I’m very happy that we invested timely in perm. I would have expected based on my knowledge that perm would be later, but we saw very early in the year already in our Sourceright in our American RPO business very, very strong demand. And fortunately, we have the people to handle that demand and you could see that. After the financial crisis in 2009, we bounced back later in perm, but if you look at the numbers of perm players, are actually even better than they are, and 15% ahead of 2019, where this was just 1% in the second quarter, so good. Outperformance in almost every market, also again in the important markets in the U.S. and France, but also in the Netherlands, so very happy with that. I’m on the road again visiting clients. So that’s good because that’s what I like most, but yes, we’re talking to them because the mind shift they need to make is from going with an abundance of people in the midst of COVID to all the trends on scarcity, which are back. We know that our strategy is based on that where – and we’re going to talk more about it at the Capital Markets Day, but less and less regular recruitment model will hold through that you have a job opening, job posting, then people react, you make a selection. So that’s why we are creating this big database, so that you can go in and with our clients discuss what’s still available and how they need to change their demand, maybe train, maybe put business elsewhere, maybe get to part-timers, maybe you get all the people, whatever. We’re very well positioned. As I said this morning in an interview, we are part of the solution of what is happening in the labor market today. We also made an acquisition, Cella. This adds to our IT portfolio and I’m very welcomed that they are. It’s going to be already in our numbers in Q4. So let me take you to Slide 7, one we showed you last time and you see a very nice – we mentioned that in Q2, we already above 219, but you see the trends increasing. This September was 6% higher than 2019. So, a light improvement throughout the quarter. And the trend in early October mind you these are two weeks, of course. But still, we see a good trend yes, hopefully for the rest of the year. Although, of course, you do see COVID flaring up now and again. So, it’s still a volatile market as always. But yes, we’re optimistic for the remainder of the year. So, let’s go to the countries, North America, very strong out-performance again, 17% growth, up 5% versus 2019. Actually, all our markets are above 2019, exception is France, but also improving towards 2019. Spain a record with 30% versus 2019. So again, you see in this American market that there is a lot of demand. U.S. Profs grew 11%, but they have much tougher comparison because, of course, that business dropped way less than our Staffing business did. So, a great performance there. Our Canadian business, 28%, 12% above 2019. So again, our Canadian business, very strong run business with an experienced team. EBITDA margin up 40 basis points. So good stuff there. You are going to be asking about wage inflation. We do see wage inflation in the U.S. Overall, that’s good for us, and we can pass on higher bill rates well in that market. Our French business, 12% year-on-year growth, 3% still below 2019, was 6% in the second quarter, but very positive momentum of 5%, sorry positive momentum, looking at employees working in France where we do see a steady improvement also in this quarter. Yes, supply chain issues, but that is in – I mentioned it also in the second quarter, automotive-related, chip-related, we do see that. But yes, then we moved to other sectors effectively. This might be again hopefully short-lived and maybe a promise for 2022, but in markets like Spain, Belgium, France, Germany, we do see that. But as we’ve shown also last year, we then pivot towards other sectors where there is demand. Again, on our French business Profs, very strong, 13% growth. And also, OC business, tough time last year, of course, many sectors down, but they’re doing a great job. As you know, we put in a new global management team, very happy with their performance and their profitability is also strong this quarter and improving every quarter as we speak. Our Dutch business, again there two years ago, a little over two years ago, we changed management team, very happy with also this team, very market-driven, very much into the basics of our business and that pans out. So, a good market outperformance in the Netherlands, also very happy that we’re able to help the Netherlands, as a country, with supplying many people for testing for call centers. Many people that didn’t have a qualification to do this, but that is where our sector is good to get a 1000, 2000 people on a short notice to test from all sorts of sectors. So, well done here. Our Profs yard business, yard business, 20% up, and then an exceptionally high EBITDA, not so much one off, but is a very good quarter, but this is not the run rate that you should pencil in for the Dutch business in your Excel. But still very happy with what we delivered this quarter. Our German business also up towards 2019, so good, 27% growth. You see that across the board, but also in Germany, e-commerce, logistic a lot of demand, we are well-placed predominantly if you are in-house but also our staffing. So, we do that well and also from here doing well. Automotive, yes, it’s a bit up and down. So, we are really – I was talking about Germany but our Belgium clients where a few weeks we have 500 people out at one location, and then four weeks later we got 500 people in. So that’s what we’re seeing right now, which again is a relevant service for our clients and we can manage. So automotive in Germany is still in terms of EBIT below group average. We and Germany already started going down into 2018 as a market through legal changes and the automotive sector, but we kept our infrastructure in place in Germany because we believe in this market in the years to come. Belgium, solo performer as always, also 1% up but still challenges here also, 14% markets outperformance still, which given their market share is an impressive performance. Very broad based – that we have a very broad based portfolio healthcare, for example, also important to in these business. Belgium professionals, which is obviously predominantly but now with also well ahead of 2019. Italy, yes, never tired of saying that a star performer. Italy, Spain these are markets where we have a great position with relatively low penetration rates in the labor market. Italy is modernizing its labor markets at a quick pace, I also very much, by the way, as a side note, like the plan that the drug administration has for Italy on modernizing and also the labor market. So this will help but again, 34% growth, 21% above 2019. What can I say, perm up 86%, 42% against 2019. So yes, they invested well and ahead of the cycle. So we did that in general but they really picked it up and we see a very quick returns so well done, Italy, forza Italia. Iberia, I’m very happy to say that our Spanish business was above 20% market share, first time in history. So compliments to the Spanish management team. Our Spanish businesses from a, call it, tech and touch field steering, one of the best businesses we have that constantly also experimenting with new stuff that we learned from as a group so well done. Also here, supply chain issues still, but they perform very well. I mentioned last quarter that they had a strong pipeline of new clients, which is coming through perm up. They also have RPO, which is working well, so and a great profitability development. Rest of Europe, by and large, similar trends to what we see in the other countries. Poland still up, Poland was one of the first movers, so to say, in terms of growth on the back of COVID and they keep that up. UK, very strong, 57% growth year-on-year, predominantly again in healthcare – sorry, in logistics e-commerce, but also very much in what you might call the gig economy. And we’re going to talk a bit more about that at our Capital Markets Day, again. The Rest of the World, yes, the Rest of the World is like Italy, that’s always performing well. So firing from all cylinders, great to mention that our Argentinian business, again like Spain, by the way, crossed the 20% market share so they became market leader, last year and they now crossed 20%. So they’re really, really gunning for it. Brazil, great performance predominantly in RPO, we almost doubled our headcount in Brazil this year, very much investing for growth and it’s working. India, of course, country very much touched by COVID, late in COVID so unexpectedly, but huge – you might remember we created this fund to help our own people and our temps who were touched by it, but 13% year-on-year, 18% above 2019 and profitable. Biggest challenge in India is to get parts of the markets which are profitable, very well done. And Vishy, who moved from CFO to CEO, is doing very well with his team so well done. And overall, a great EBITDA performance. Our global business, I mentioned it already, our Sourceright business, 48% up year-on-year. So predominantly in the U.S., so this is really, for us to challenge how many people we can throw at it actually to serve and help our clients. Monster turned the corner, 1% year-on-year, we do expect the growth for Q4 to be stronger. And almost we’re going to talk to you again at the Capital Markets Day, because the more our technology becomes solid, the more we can invest in marketing. So we already invested in marketing in Monster in this quarter because we do believe that that will yield fruit. So more to come on that one at the Capital Markets Day. So – and the numbers in detail, Henry?
Henry Schirmer: Yes. Thanks so much. Good morning, everybody. So let me start by expressing my appreciation for your outstanding leadership Jacques.
Jacques van den Broek: Thank you.
Henry Schirmer: A few more quarters to go together and we’ll definitely make them count. So with that in mind, I’m excited to talk to report back on yet another strong set of results. Yes, as Jacques mentioned despite some significant macroeconomic challenges, revenue growth in quarter three came in at 21% year-over-year and 5% above quarter three 2019 levels. And the recovery of volume and revenue is broad based in all countries across the old concept who we continue to see some regional differences still due to ongoing COVID-related restriction. We continue to gain market share and significant parts of our portfolio without compromising our overall pricing discipline. And like we would never take market leading growth for granted delivering it with further significantly improved profitability is setting us up well for an overall strong year. Reported gross margin came in at 19.9%, a 100 points improvement year-over-year and 40 basis points up sequentially and we will go more into detail on the next page. The strong gross margin gives us some extra room to accelerate our investments into growth capacity, marketing and digital transformation. However, let me also reiterate how important it is for us to safeguard the attractive return. We keep a close eye to orchestrate the right balance of growth and its conversion into EBITDA and cash. And talking about EBITDA €298 million, 4.7% EBITDA margin up 40 basis points sequentially with an incremental conversion rate of 37% in line with guidance. integration one-off costs came in at €15 million costs this quarter, reflecting some minor fine tuning of operational structures across some geographies in the report that effective tax rates sits at 26% for the first nine months of the year. And for the full year, we expect it to be 25% – between 25% and 27% as guided before. With that, let’s look into the gross margin on Page 15, if you see it year-over-year the gross margin improved for 100 basis points from 18.9% to 19.9%. As you can see in the graph 20 basis points of improvement can be attributed to the 10th margin, which suffered quite severely from COVID-related inefficiencies like idle time and sickness a year ago. At the middle blue bar reflects the margin effect of the strongly growing firm business, 60 basis points improvement year-over-year, our firm business continued to do very well and increased by 74% year-over-year is up 15% over 2019. And lastly, our business reported on the HR Solutions improved our overall gross margin with 20 base points year-over-year and here excellent growth momentum RPO is playing a key role. What’s our gross margin part remains difficult to predict, we reiterate the importance of safeguarding attractive growth margins and all our business activities. Smart value based pricing is fully back on the agenda as a strategic mixed management and winning most customized digital support. With that, let me turn to page to the OpEx bridge on Page 16. So reported OpEx came in at €953 million, €25 million higher sequentially mainly to support significantly accelerated RPO growth at attractive EBITDA margins and increased marketing support for talent acquisition engine Monster. We kept the overhead to revenue ratio stable at 15.2%. Of the 2,600 FTEs edits in quarter three, a significant amount of consultants that have been hired to support the strong RPO and firm growth. And as mentioned earlier, excellence and conversion, it’s a non-negotiable operating principle at runs and requires a sailing as close to the wind as possible for the best outcome in terms of growth and profitability. That’s reported also in the last quarters, we continue to work relentlessly to identify less productive spend, to support our investments into growth and winning capabilities. That productivity journey has become part of our DNA. We’ll provide ongoing self help to secure sufficient fuel for growth and market leading profitability. With that in mind, let’s now move on to cash flow and balance sheet on Page 17. Our free cash flow for the quarter also came in strongly at €297 million. It’s purely a function of significantly improved EBITDA and very tightly managed operating working capital. This all came down another 1.4 days year-over-year 51.4 on the last four quarters moving base. The reported year-on-year free cash flow decreases mainly explained due to the €360 million CICE cash inflow out of which €265 million was sold to third parties in quarter three 2020. Our balance sheet remains to be very strong showing at €346 million net cash position. The leverage ratio of minus 0.3 excluding IFRS 16. This already includes the payment for the Cella acquisition and is scheduled and announced at the beginning of this month, we paid a special dividend of €1.62 per share totaling about €300 million. This is not reflected in the quarter three net cash position, but of course it will affect our net cash position in the fourth quarter. That brings me to my last chart already. The conclusion outlook on Slide 18. As explained, the volume recovery sustained both third quarter and this broad-based across our portfolio. The same time visibility remains limited with ongoing macroeconomic uncertainty. Quarter three 2021, organic revenue per working day increased by 21% year-over-year and 5% compared to quarter three 2019. September organic sales growth was up 6% versus 2019. The development of volumes in early October indicates continued positive momentum. During the business in the longer-term towards an ICR 40% to 50% is served as well in the past and continues to be irrelevant steering principle into the future. Hence, overall, we are also aiming for an incremental conversion ratio of 40% to 50% for this full year. Quarter four 2021 gross margin and operating expenses both expected to be broadly aligned sequentially. And lastly, I would like to mention that there will be a positive point to working the impact in quarter four 2021 and that concludes my remarks. Back to the operator.
Operator: Thank you very much. [Operator Instructions] Our first question comes from the line of Hans Pluijgers from Kepler Cheuvreux. Please go ahead. Your line is now unmuted.
Hans Pluijgers: Yes.
Jacques van den Broek: Hello, Hans Pluijgers, nice.
Hans Pluijgers: Yes, I know it’s all difficult to pronounce, but no problem. You know who I am, so that’s my point.
Jacques van den Broek: Yes.
Hans Pluijgers: Now Jacques few questions from my side. First of all on price and volume. Do you see let’s say any change in there in the mix and then especially looking to compare to 2019, you indicate that’s 5% for the quarter compared to 2019 and 6% at the end of the quarter and Q2 was 3%. But do you see let’s say any change in is price becoming a bigger part of that development or do you see any material change there? Secondly, on the gross margin, 20 basis points improvement compared to Q2 – compared to last year, but that’s if you compare it to peers, you also gain it clearly market share, or what are you winning really in the 10 business your let’s say the contract is its contract? Is it on execution? Or also do you see that believe a little bit more aggressive on pricing? Could you give maybe some feeling where do you believe you are winning it on compared to peers, especially in the temp business? And lastly, a more detailed question on the Dutch margin, 7.5% you said as exceptional, could you give maybe some feeling on what you see as the normalized margin there?
Jacques van den Broek: Yeah. Normally, we do two questions, so there’s no material change, it’s okay.
Hans Pluijgers: Sorry about that.
Jacques van den Broek: So there’s no material change towards 2019 in pricing and volumes. So it’s very much volume, so we just have more people at work. So of course, it’s slightly different mix 2019 a little bit more SME. But for example, as we’re getting to in-house was growing fastest and now we see staffing growing faster than in-house. So, which I feel is logical. I’ve been with this company for 34 years, on the board for 18 and we’ve never competed on price. So I still – and pulled by clients who say, I’ve got some bad news. You are the most expensive one of all the bidders. And that’s still the case. I know that some companies who are growing less say that they are walking away from contracts, I’m not seeing it. We hired a lot of people. We were quick on the draw. We recognize market trends. We also bring our people to where the market is. And we trained them in our newways program on selling remote with digital marketing or support. So we’re already in September last year, we were in contact with all of our database to see when they would be hiring. So yeah, we’re just with more people quicker and better. And then on the Dutch margin yeah, what is normalized, but it’s not 7.5%, but anywhere around 6% depending a bit on the mix.
Hans Pluijgers: Yes. Okay. Thanks.
Operator: Our next question comes from the line of Rory McKenzie from UBS. Please go ahead. Your line is now unmuted.
Rory McKenzie: Good morning, all. It’s Rory here. Just two from me, please. Firstly, can you just talk about the exit rate across the regions? Within the quarter the momentum slowed a little bit in France and the Netherlands compared to Q2 versus 2019. So can you just talk about the – I guess, exit rates there and what was behind that slowing specifically? And then secondly, on this strong perm growth that you’ve seen, is that just a catch up from a year before of little permanent hiring? Or is that at all some kind of substitution from temp in some areas or other types of hiring as Jacques, you talked about the changing availability of workers and how clients need to adapt to that. Just wondering after a decade of falling worker power with things like the gig economy, whether that this is kind of maybe driving a reversal in some of those trends? Thank you.
Jacques van den Broek: Yes. Yes, exit rates for country we’re not doing that. Of course, we see a strengthening trend and yes, that actually goes for all countries. So we don’t see any weakening or some countries picking up more than others. So very much a broad base again, as our growth is in general. I don’t think the perm is a catch-up Rory, what we – what you will see if scholarship persists that clients will be prone to hire sooner. So for us, the negative effect is then that it takes more work to keep volume growth up, but yeah, there’s pricing power, so it reflects in the margin. So yeah, and then it’s going to be more of a candidate market. I also think you mentioned the gig economy. It will support through the fact that you cannot have a business model that hinges on hiring people with a salary system, which means that you’re not insured. You don’t do anything long-term, hence more towards employeeship, and of course, that’s where we come in. But again, this is a theme at our Capital Markets Day. So, bear with us on that one. We do think that this will, of course, drive penetration rates for them up further. But again, more detail on that in a few weeks.
Rory McKenzie: And you mentioned that you’d been adding more capacity to areas like by perm growth, what types of sectors or specific roles are you targeting of the – it’s hard at the moment to work out. What’s going to be a long-term growing trend than just kind of the short-term adjustment of the labor market. So, can you talk more about where you put in more capacity in these high growth areas today?
Jacques van den Broek: Yes. Well, we leave that very much to the countries, and it’s a slightly different setup of country. So, what we did is, we gave them room to invest in and we asked them, ideally, it’s in higher margin segments, and perm, of course, it’s our margin segment. And, but for – the RPO business, which is a business in itself that takes care of large clients and out or in sources the whole process or parts of the whole recruitment process that is firing for more cylinders, not necessarily to watch one sector or so to say. Our French business, Dutch business, Italian business, very broad-based certainly in the staffing profiles, we have a hybrid model as we call it. So, we – the consultant, the staffing consultant also sell perm. So it’s a similar discussion, I would just, asking the clients what they would like. So very broad-based, not specific, but benefiting from the fact that we put in more perm consultants early.
Rory McKenzie: Perfect. Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of Marc Zwartsenburg from ING. Marc, please go ahead. Your line is now unmuted.
Marc Zwartsenburg: Thank you. Good morning, everybody. Two for my side. First, maybe drilling in a bit on the balance of your top-line versus your OpEx growth, because OpEx is up 22%. It’s still a reflection of still putting some extra investments in there. And at the same time, also having units doing mobile at work, giving you strong top-line. How do you see that moving forward is – are the people that are in now fully productive already, or should we still see a sort of extra acceleration from the investments will becoming more productive in the next two quarters that your top-line continues and the strong momentum, likely – like you’ve guide for, but at the same time that your old practice coming down a bit in terms of year-on-year growth, how should we see them balance going forward? That’s my first question.
Henry Schirmer: Yes, Marc, let me take that. Good morning. Thanks for the question. Yes, we definitely have a strong steering principles. You’ve seen that we are on the long – on the four quarter moving at 51% and we guided for 40% to 50% for the rest of the year. But yes, it’s a tight balance. We get weekly data through and we steering in such a way that we are fully supporting organic growth, but also supporting the long-term investment required for having really, really good quarters in many years to come. But we are very, very close to it that what I said in my remarks, the long-term 40% to 50% ICR sales golden principle, and we keep at it.
Marc Zwartsenburg: And then maybe just touch base – immediately also on the ICR, because it was my next question. You’re guiding for the full year, which is quite a broad range, translate them back to Q4. Well, what is the reason for not giving a more detailed guidance, 30% to 40% for Q4 for example?
Jacques van den Broek: Yes. Well, we still need to make decisions. So we talked about our RPO business and if clients give us – give us more demand for Q4, we’re going to put in more people and we don’t know that. So again, the visibility remains at this four to six weeks. The supply chain issue in automotive, if a client all of a sudden, and I mentioned Belgium company all of a sudden having wanting 400, 500 people more then we put in people. So yes, E-Commerce on the one hand there you have rumors that that the stuff won’t be on the shelf, so therefore the Christmas season that will affect the planning of our E-Commerce clients. And sometimes this goes up and down with a few hundred people. So that’s what we need to navigate. I think we’re pretty transparent given the size of a company and I don’t even know what the ICR will be for Q4, because I don’t know how many people we need to put in. Maybe we can do it with the current set of people. I don’t think so. So that’s why we said broadly in line. We will not miss any chances that we see in the market, which give us long-term returns.
Marc Zwartsenburg: Got it. That’s good details, Jacques. Thank you for that and well done on the quarter.
Jacques van den Broek: Thank you.
Henry Schirmer: Thanks, Marc.
Operator: Thank you very much. Our next question comes from the line of Konrad Zomer from ABN AMRO. A-M-R-O my apologies. Konrad, please go ahead. Your line is now unmuted.
Jacques van den Broek: Welcome. Nice to see you, you know.
Konrad Zomer: Hi. Good morning you two.
Jacques van den Broek: Well, you not to need to rebrand, so it’s either ABN or you got to dump the AMRO because that doesn’t work as you here.
Konrad Zomer: Well, maybe we should call it auto from now on then. Good morning, all. First of all, Jacques you’ve worked at the company for more than half your life and I have a lot of respect for what you’ve done. You don’t need my compliments, but I just wanted to say very well done from my end.
Jacques van den Broek: Thank you.
Konrad Zomer: Just one question; we hear about staff shortages and the lack of enough skilled labor in many markets. Could you maybe rank the top three countries where you start to feel the impact from tightening labor markets? And can you also maybe rank the top three industries where you feel that the tightening labor markets the most?
Jacques van den Broek: Yes. Well, that’s a tough question. Because for example, in the U.S. there was all so short-term tightening because of, yes, sounds a bit funny because it’s at the end of the day not a lot of money, but the COVID support. So the COVID support that the blue collar part of the market was too close to the actual wages when you work. So we also see that in Europe sometimes, then in the perception of people it doesn’t pay to work, that is addressed now in U.S. so most states have turned that back. So the federal board is out, what remains is the state part so that means that roughly you go from $13 an hour to $10 an hour in support. And we do see, although slowly, by the way, because people take that time for whatever reason. We do see people getting back to the workplace. So how structural is that shortage? We don’t know. There’s also this, of course, a bit like many companies at the same time are seeing demand and they want to fill that. But on the other hand we have supply chain issues that still dampen them out. So it’s very tough for me. What is the case? What is the case in Europe is, but that’s more of a philosophical thing is really true. The increasing mismatch and the fact that in a country like the Netherlands there’s still 1 million people that want to work or want to work more, but they can’t find the access to work so to say, and that’s what we need to work on. And the public employment services doesn’t work: same in France, same in Belgium, same in Germany, that’s something Italy and Spain even worse by the way, that’s something we need to address. We need to untap these resources; otherwise, we might have scarcity, which is not necessary. And at the same time, people are unemployed. So very much on our plate. I’m spending a lot of my time talking to governments on how to address it, but also companies to change their demands. Sometimes we see demands which are in current labor markets, not relevant and not achievable anymore. So companies need to have a talent strategy and change that. So there’s a lot of moving panels and I cannot just simply say, this is a country where it’s most relevant so to say.
Konrad Zomer: Okay. Thank you.
Operator: Thank you very much. Our next question comes from the line of Dominic Edridge from Deutsche Bank. Dominic, please go ahead. Your line is now unmuted.
Dominic Edridge: Thanks so much for taking the questions. Just a couple for myself. Just probably leading on some of the questions beforehand in terms of the labor shortages that you’re seeing versus sort of obviously healthy demand for those services. And where do you think you are in terms of the sort of – I sort also think of it in terms of a dial? Are we sort of in the red zone anyway particularly in the U.S. where it becomes a net negative for you in terms of trying to fill vacancies, and maybe could you sort of say where we are in other jurisdictions, particularly in Europe on that balance? Secondly, on the restructuring, obviously most of your units seem to be doing pretty well at the moment. Can you just discuss where you’ve had to do that restructuring? And then lastly, I know this may preempt the CMD that you’re going to be holding, but in terms of M&A and the focus, I know you’ve obviously done a deal with Cella in the U.S. Can you just say, is that sort of the areas where you’re looking at, or should we not sort of read – and read too much into one particular deal? Thanks so much.
Jacques van den Broek: Yes. I’ll do the first and the third and Henry will do the second. I don’t know where we are on the dial, because it’s very much depends on the reaction of talent and the reaction of clients. So we’re working very much, again, data support with our clients on what’s available in the market. So clients can still get work done if they change their profiles. If they go into skilling, if they are willing to up-skill their own workforce and create room at the bottom end of their workforce, if they’re willing to put work on platforms, lots of stuff that we’ve had discussions with them before, COVID even and some picked it up, some more lukewarm. So that depends. So that’s the short-term dial. So there’s still a lot of up dialing possible, but it needs some work. And again, given our data, because we saw this coming, we can support, can really show that it doesn’t make sense to put in more job postings to take in another supplier because the labor market or the position that the client has as an employer brand won’t change that unless they do something else. So very interesting. The long-term dial looks rather bleak. If we don’t and this is an onslaught. This is a labor market and economic growth as such. So we need to look at all sectors in a public private fashion. What is the available labor? Because there is a big reserve potentially of labor. And that is currently in white collar jobs at banks, at insurance companies, at the government. Those jobs will disappear in three to five years, and we need to start re-skilling those people towards the sectors that matter and sectors we will have demand. That is very tough. I’ve shared a Boost program where we offered free coaching for people who were due to COVID not working in a sector that we deemed not to bounce back quickly, less than 7% picks up on that offer. So this is a one-to-one very labor-intensive move of people that we need to do again, publicly, privately together data supported. So yes, interesting time again, spending a lot of my time on that and yes, the ones who get it first countries or companies where we will be the winners. So that’s the first question.
Henry Schirmer:
, :
Jacques van den Broek: There’s not people actually.
Henry Schirmer: No, no. There’s a lot of little positions in the 15 million in total, so not really material for the business.
Jacques van den Broek: Yes. And I forgot the third question. No, this is not preempting the Capital Markets Day. It’s basically unchanged. So geographically we favor U.S., Japan big markets, relatively low market share, very profitable markets. We are looking at deals in the IT/stable work space of which Cella is a good example. There’s one drawback of COVID. I would have hoped that there would be some bargains to be had. Well, apparently that’s not the case. So that’s too bad. So we never shy away from a deal that might come our way that we like even in staffing. But yes, so that’s roughly the portfolio mid-size bolt-on-deals, so no big transformative stuff and in that sense, Cella is yes, I think, a good example of what we are looking at.
Dominic Edridge: Right. Thanks so much for the answers.
Operator: [Operator Instructions] Our next question comes from the line of Oscar Val from JPMorgan. Oscar, please go ahead. Your line is now unmuted.
Oscar Val: Yes. Good morning, Jacques and Henry. Just one question from my side on, I think this time last year in Q3 and Q4 logistics and e-commerce is growing very strongly. Could you update us on where those end markets are today and are you still growing on a year-on-year basis in those end markets? Thank you.
Henry Schirmer: The answer is yes. And that is partly because of the growth of these companies, because of course economies are opening up. And we do think that the shift towards e-commerce, which of course, was happening vis-à-vis, regular retail is continuing. But at the same time, we’re all also very well positioned. So we have strengthened positions with quite a lot of e-commerce players, we’re taking market share. So therefore there’s also remaining growth.
Oscar Val: Okay, good. Thank you very much.
Operator: Okay. So we have no further questions in the queue at the moment. [Operator Instructions].
Jacques van den Broek: Okay, well, that’s it then, thank you very much. Thanks for calling in. And we’ll – well, see you at the Capital Markets Day and certainly also at the next quarter. Thank you.
Henry Schirmer: Thanks so much.
Operator: Thank you very much for joining today’s call. You may now disconnect your handsets. Hosts, please down the line. Thank you.